Operator: Good morning. My name is Jared and I'll be your conference operator today. At this time, I would like to welcome everyone to the O'Reilly Automotive Third Quarter Earnings Call. [Operator Instructions] Mr. McFall, you may begin your conference.
Thomas G. McFall: Thank you, Jared. Good morning, everyone and welcome to our conference call. Before I introduce Greg Henslee, our CEO, we have a brief statement. The company claims the protection of the safe harbor for forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements can be identified by forward-looking words such as expect, believe, anticipate, should, plan, intend, estimate, project, will or similar words. In addition, statements contained within this conference call that are not historical facts are forward-looking statements, such as statements discussing among other things, expected growth, store development, integration expansion strategies, business strategies, future revenue and future performance. These forward-looking statements are based on estimates, projections, beliefs and assumptions and are not guarantees of future events and results. Such statements are subject to risks, uncertainties and assumptions, including but not limited to, competition, product demand, the market for auto parts, the economy in general, inflation, consumer debt levels, governmental approvals, our increased debt levels, credit ratings on our public debt, our ability to hire and retain qualified employees, risks associated with the performance of acquired businesses such as CSK Auto Corporation, weather, terrorist activities, war and the threat of war. Actual results may materially differ from anticipated results described or implied in these forward-looking statements. Please refer to the Risk Factors section of the company's Form 10-K for the year ended December 31, 2010 for more details. At this time, I'd like to introduce Greg Henslee.
Gregory L. Henslee: Thanks, Tom. Good morning, everyone and welcome to the O'Reilly Auto Parts Third Quarter Conference Call. Participating on the call with me this morning is, of course, Tom McFall, our Chief Financial Officer; and Ted Wise, our Chief Operating Officer. David O'Reilly, our Executive Chairman, is also present. Once again, I have the pleasure of beginning our prepared remarks by congratulating Team O'Reilly on the excellent performance. Our third quarter comparable store sales increase of 4.8%, on top of the 11.1% increase we generated last year, is a significant accomplishment and we should all be very proud of our results. As always, our outstanding performance is the direct result of the effort each member of Team O'Reilly puts into our ongoing goal of providing our customers the highest levels of service in our industry. Each one of us plays an important role. Whether our position is in one of our 23 distribution centers, our headquarters or on the front lines in one of our 3,700 stores, as a team, we continue to lead the industry in comparable store sales gains. Thanks to all of you for your hard work and commitment to our company's continued success and again, congratulations on a great job. Now, on to some details about our performance in the third quarter and some observations on our industry. As we discussed on our second quarter conference call, we projected third quarter comparable store sales in the range of 2% to 4%, and are pleased to report that we exceeded our guidance with comparable store sales of 4.8% and a 2-year stack increase of 15.9%. This is an acceleration compared to our first and second quarters, which had 2-year stack comparable store sales growth of 12.5% and 12.3%, respectively. Sales throughout the quarter remained fairly steady with solid results considering the tough comparisons. The better-than-anticipated performance came primarily from the commercial side of our business as we continued to execute well in our historic markets and continued to succeed with our efforts to implement our dual market strategy in the CSK conversion stores. With the heavy lifting now behind us, our work continues in the conversion stores as we work to further penetrate the commercial business and take back some of the retail market share that those stores had lost over time as we've discussed in the past. We continue to be pleased with the results of our efforts. With expected variations that exist in any retail chain related to store management abilities, local competition or lack thereof, we continue to see steady sales improvements in the converted stores. As one would expect, the CSK converted stores as a group continue to lead our company in comparable store sales improvements, and we anticipate this trend to continue as we incrementally earn credibility and improve our reputation as the very capable parts supplier and business partner we enjoy in our historic markets across the country. To this point in October, the relatively steady sales trend we've been on has continued. As was the case with our third quarter, we have challenging comparisons in the current quarter, having generated 9.2% comps last year. As always, the primary macro factors that affect demand in our business are miles driven, age of vehicles on the road, fuel prices and unemployment. Through the end of August, miles driven in the U.S. was down 1.3% for the year, representing 26 billion fewer miles driven as compared to 2010. Through the end of September, it appears the seasonally adjusted annual rate of new car sales is about 13 million units, an improvement over 2010. Average fuel prices, while down from the weekly average high of $3.91 per gallon in May, are still 23% higher than this time last year. Currently, the average cost of a gallon of regular gas is about $3.42 compared to $2.78 last year. And lastly, the unemployment rate continues to hover around 9%, down from the reported high of 10.6% in January of 2010. Clearly, the slow pace of the economic recovery is taxing many consumers and we expect discretionary spending to remain pressured. Fortunately, most of our products are not discretionary and are absolutely necessary to keep vehicles operating safely and on the road. In addition, as the average age of vehicles is incrementally increased over the years, accelerating in recent years due to depressed new car sales, demand in our business has been solid. While miles driven is under some pressure, we speculate that the yield of auto parts demand per mile driven is better since a higher percentage of miles driven are in vehicles that are now out of warranty. In addition, the complexity of some of the systems that exist in most vehicles manufactured in the last 10 to 15 years generally results in more expensive repairs at higher mileages. Systems like fuel delivery with in-tank electric fuel pumps, integrated sending units and fuel injection systems, emission systems, which require a number of sensors and onboard computer and other componentry, as well as antilock brake systems, non-greasable hub bearings and the list goes on and on. So, even with the tough comparisons, we remain optimistic in our ability to generate solid comparable store sales increases. For the fourth quarter, several factors come into play with the onset of winter and holiday spending demands placed on consumers that are already under financial pressure. However, we feel reasonably confident in our ability to generate a comparable store sales increase in the range of 3% to 5%, maintaining the solid 2-year stack performance we've seen so far this year. Pretty much across the board, we're pleased with our third quarter performance. Gross margin increased to a rate of 49.1% of sales, a 50 basis point improvement compared to the second quarter of 2011 and last year's third quarter. We continue to work tirelessly to enhance our gross margin while creating a compelling value opportunity for our customers. Currently, our focus areas are the improvements we're making in our ability to operate our distribution centers as efficiently as we reasonably can. These efforts primarily revolve around maximizing our use of a variety of technologies that exist in our distribution centers. We also continue our efforts to manage our selling prices by geographic region, both for retail and professional customers. This simply involves putting more science behind the way we price products and as most commonly referred to as price optimization. SG&A expenses continue on a good trend, coming in at 33.4% of sales, a 90 basis point improvement compared to last year. As most of you know, we work very hard to keep our operating expenses low. Our culture and heritage is to spend money on things that improve customer service and offer us competitive advantages, but to resist spending on things that don't. And I think we're doing a very good job adhering to our values. We would expect to see continued incremental improvement on the SG&A line over the next couple of years as we continue our efforts to further leverage our fixed cost in the CSK conversion markets. The resulting operating margin of 15.7% of sales is a 130 basis point improvement over last year's adjusted operating margin and sets an all-time quarterly high watermark for our company. Tom will be talking about some of the details from our balance sheet in a moment, but I'd like to quickly recognize and congratulate our merchandise, purchasing, inventory control and finance teams for all their efforts to improve our AP to inventory ratio, as well as our inventory turnover. To have opened 137 new stores this year and grow comparable store sales by 4.9% while decreasing our net inventory investment by $309 million is a tremendous accomplishment, and I want to congratulate all of you on the great job and say thanks for your continued contribution to our company's success. As I've mentioned on our most recent quarterly conference calls, in the absence of the massive CSK conversion activity that has taken place over the last 3 years, we're focusing substantial effort on preparing our company to be an even stronger competitor in the automotive aftermarket in the future. Our work continues on point-of-sale system improvements, expansion of the information to help facilitate technical questions, improved parts lookup capabilities and sourcing capabilities, leveraging opportunities to grow our e-commerce business, both B2C and B2B, systems to enhance the way we manage inventories and adapt to the changing vehicle population, along with a long list of other initiatives. We look forward to the ongoing benefit we'll experience as these benefits incrementally enhance our ability to exceed our customers' expectations. In closing, I think it goes without saying that I'm very optimistic about the future of our company. We're very fortunate to operate with a team of management members that has successfully worked together for many years, supporting a culture of growth and prosperity that allows individuals to advance in their careers and incrementally take on more and more responsibility, leveraging the lessons they've learned in our business. We look forward to many years of continued success as we all work together to grow our business in existing markets and introduce the O'Reilly culture in markets new to our company. I'll now turn the call over to Ted Wise.
Ted F. Wise: Thanks, Greg. Good morning, everyone. I would like to start by also thanking Team O'Reilly for another outstanding performance in the past quarter. Without question, higher gas prices and high unemployment had created a more challenging business climate this year. However, following an 11.1% comp from last year's third quarter, our team pulled through industry-leading comps of 4.8%, while also producing another company record of 15.7% operating margin. Our team's focus and commitment to providing great customer service levels is obviously the foundation for profitable sales growth and market share expansion in both our new and mature O'Reilly stores. We appreciate the hard work and extra effort that have been necessary of all of our team members during the last 3 years of the conversion and transition of CSK stores and distribution centers into the O'Reilly model. Across the company, our team understood upfront how critical it was for our existing stores, distribution centers and corporate leadership to stay focused on growth and profitability of the core operations during this time period. Our performance speaks for itself, and we're very proud of our team for successfully handling all the tasks involved in the conversion while also achieving outstanding company sales growth and profitability during this period. It's rewarding to see these results of our hard work and what we've accomplished in such a short period of time, and it's a great demonstration of the level of commitment of our entire team and what it takes to continue to make O'Reilly a leader in our industry. Now, in regard to our new store growth, we're on schedule for our new store plan of opening 50 new locations for this third quarter, or we will open, or we have opened 50 new stores in the third quarter. This brings us to 138 net new stores for the year. And we will be opening another 32 stores in the fourth quarter, ending the year with 170 net new stores. Our growth markets in the third quarter included 16 states. Ohio led with 7 new stores, followed by Michigan, Georgia and North Carolina with 5 stores each. By year end, we'll be operating 3,740 O'Reilly stores. As I've mentioned before, we are proud of the fact that during the last 3 years plus of the CSK store conversions and new distribution installations, we have simultaneously opened approximately 500 new stores. In addition, we have continued to evaluate older stores, and as leases allow, make relocations to improve our position in the market. For example, this year, we will end up with 21 store relocations, as well as a large number of store additions and major renovations. This will continue to be a key focus of the real estate team, especially with the older stores on the West Coast that are located in shopping centers. We see the opportunity to increase our retail presence while potentially lowering our rents in many markets on the West Coast. This, of course, is in addition to the new store expansion opportunities we see in the West, which with the support of our new distribution, puts us in great shape to handle the store growth within the current system. For example, this last quarter, our expansion included 4 new store installations in the Western states and our first new O'Reilly store installed in Alaska. Our real estate team continues to find good expansion opportunities within our current 39 states and can be serviced from the available capacity of our 23 distribution center network. We are finalizing our expansion for next year, and based on our bank of properties in the pipeline, we are setting the goal of adding 180 new stores in 2012. Now, for a brief update on our progress in the West Coast stores. We are essentially finished with the store planogram resets, interior remodels and exterior sign conversions. We are now going back and fine-tuning overall store image and evaluating areas such as upgrades on interior lighting, exterior painting, landscaping and other maintenance needs that will enhance our retail image. We have received many positive comments from both our team members and our DIY customers on the new store layout and interior store image. The new O'Reilly image, better parts availability at more competitive prices and improved retail staffing model, are all in place and positions our store to grow our DIY business. Our store inventory levels and availability out of the hubs and the distribution center is an important ingredient in our growth of both the retail and professional business. We continue to evaluate and fine tune our hub and spoke system, ensuring that we have the necessary inventory levels in the stores and the hub systems to support our growth. Training and building our store teams continue to be our top priority. Most stores now have been on our computer and operation system for a year or more, and our teams are out of the POS and systems learning stage and can be totally focused on executing our programs and providing superior service levels that are required to win customers over. Our store leadership fully understands that the key to our stores' continued growth is based on the store team. And to have a great store team, we must provide both the technical and service training for our team members, along with recruiting and hiring practices to bring in team members into the company. In the area of our professional business, our store teams are growing stronger and our service levels are becoming more consistent everyday, which lays the groundwork for building the relationships with professional customers. We have a huge opportunity to grow our professional sales, in-store and sales teams are extremely focused on our service levels, building relationships and the overall -- the execution of our first call program that will ensure we will continue to grow professional market share. Once again, I would like to congratulate and thank all O'Reilly team members for providing outstanding service levels to our customers. I'll now turn the call over to Tom.
Thomas G. McFall: Thanks, Ted. Now, I'll add some color to the third quarter financial results. For the quarter, comparable store sales increased 4.8%, which was above our 2% to 4% guidance for the quarter, and a strong performance on top of the 11.1% comp store sales increase from the third quarter of 2010. Total sales increased 7.7% to $1.54 billion. The sales increase of $110 million was comprised of a $68 million increase in comp store sales, a $41 million increase in non-comp store sales, a $4 million increase in non-comp non-store sales and a $3 million decrease from closed stores. For the quarter, ticket average drove our comparable store sales gain. The ticket average trends for the quarter continue to be consistent with previous quarters, driven by the continued shift in our product mix towards hard part categories, which typically carry a higher average ticket, and increased prices driven by increased acquisition costs. During the quarter, comparable DIY comp ticket count was under pressure. However, this pressure was offset by continued strong growth from the DIFM comp ticket count. Gross profit for the quarter was 49.1% of sales, which was an improvement of 50 basis points over the prior year. The third quarter also sequentially improved 50 basis points over the second quarter of 2011, driven by adjustments to our promotional activities, which, as we noted in our last call, pressured our gross profit percent in Q2, and by improved distribution efficiencies. The third quarter gross profit is a record for the company. However, we should note that the fourth quarter gross profit typically decelerates from the third quarter based on mix changes and loss of leverage and distribution costs based on seasonally lower sales volumes. For the full year, our guidance is 48.6% to 48.8% of sales versus the current year-to-date gross profit of 48.7%. During the third quarter, we continued to see the inflationary pressures we saw in the second quarter, albeit at a lower rate. During the third quarter, our reserve for LIFO increased $14 million, which is about half of what we saw in Q2. However, we still feel confident in our long-term ability to pass along raw material price increases to our customers. SG&A results for the quarter continued to be very strong at 33.4% of sales versus 34.3% in the prior year. The improvement was driven by improved leverage and store occupancy costs, improved store payroll efficiencies, advertising leverage and improved leverage on headquarters expenses. These expenses were partially offset by increased fuel costs related to store delivery vehicles and benefit costs. Our tight expense control is highlighted by an increase in average SG&A per store for both the third quarter and year-to-date of less than 0.5%. Operating margin for the third quarter was an all-time high of 15.7% of sales, driven by improved gross profit results and continued tight expense control. Diluted earnings per share for the third quarter was $1.10 per share, which represents an increase of 28% over the $0.86 per share adjusted diluted EPS in the prior year, which excludes the impact of the CSK DOJ settlement charge. Year-to-date, adjusted diluted earnings per share, which excludes the charge relating to the company's new financing plan in 2011 and the aforementioned CSK DOJ settlement in 2010, was $2.88 per share versus $2.37 in the prior year. This represents a 22% increase. During the third quarter, we issued $300 million of 10-year notes as we continued to work to balance our capital structure. At the end of the third quarter, our adjusted debt to adjusted EBITDAR was 1.81x, which ranged well below our long-term targeted leverage range of 2x to 2.25x. While we will incrementally increase our leverage over time, we remain very committed to maintaining our investment grade ratings. Moving to the balance sheet, we continue to make significant progress in improving the productivity of our inventory net of payables. As of the end of the quarter, our trailing 12-month inventory turnover, net of payables, was 3X versus 2.5x this time last year. The improvement was driven from both accounts payable and the inventory sides of the equation. On the AP side, we've increased our AP to inventory ratio from 47.2% at the end of the third quarter of 2010 to 59.3% at the end of this quarter, which represents another all-time high for us. And we continue to see opportunities to improve this ratio through our enhanced vendor financing program. On the inventory front, we've reduced the average inventory per store by 4% from the end of the third quarter last year. Another way to look at this is since the end of the third quarter of 2010, we've opened 171 net new stores and only increased inventory by $12 million. Again, we continue to see additional opportunities from new excess inventory from this system. Year-to-date free cash flow improved $281 million over the last year, which represents an 89% increase. This strong improvement was driven by increased net income, the improvement in net inventory investment and reduced capital expenditures relating primarily to no due DCs[ph] in 2011. With free cash flow this year of $597 million and additional borrowings of $300 million during the quarter, we were able to continue our aggressive and opportunistic share buyback program during the third quarter. During the quarter and through the date of this earnings release, we repurchased 8.5 million shares with an average price of $61.66. This brings our year-to-date repurchase to 14.4 million shares with an average price of $59.81, and we intend to continue to execute our program with the $277 million of cash on the balance sheet at the end of the quarter and additional free cash flow generated. Our guidance for both the fourth quarter and the full year takes into account the shares repurchased through yesterday, but does not reflect the impact of any potential future share repurchases. For the fourth quarter, our diluted earnings per share guidance is $0.80 to $0.84 per share. For the full year, our adjusted diluted EPS guidance, which excludes the nonrecurring charges related to the refinancing plan mentioned previously, is $3.68 to $3.72 per share. At this time, I'd like to ask Jared, the operator, to return to the line and we'll be happy to answer questions. Jared?
Operator: [Operator Instructions] Your first question comes from Gary Balter with Crédit Suisse.
Simeon Gutman - Crédit Suisse AG, Research Division: It's Simeon for Gary. Just first, with regard to retail at CSK, the opportunity in the DIFM seemed pretty clear. The retail at CSK was mentioned, I think, at the analyst meeting. Is there any update on the opportunity there going forward?
Gregory L. Henslee: We continue to see a lot of opportunity there. As I have said before and I said specifically in our analyst meeting, the CSK stores had continued to do quite a bit of retail business, especially on the West Coast, that much of their product mix had kind of converted away from the core automotive hard parts business that we're in. And so, we're successfully making that transition back and we feel like we have a lot of opportunity there for many reasons. One, just because of the population and all the economic dynamics that exist in California. But, two, from a retail competitor standpoint, we just don't have as many competitors on the West Coast as we do the East and Central. So we feel like we have opportunity there to grow our retail business and we're putting a lot of effort right now into trying to accomplish that.
Simeon Gutman - Crédit Suisse AG, Research Division: Okay. And my follow-up on the commercial side, especially CSK. Jeff at the analyst meeting, I think, described the strategic hire process and its relationship building process. Are you seeing the progression of new account adds that make you feel like you are going to get to that tipping point where that continues to happen and then the ticket starts to grow faster as well?
Gregory L. Henslee: Yes. No question, that's our strategy, as Jeff described at the meeting. And yes, we've had incremental success. In some areas of the CSK conversions, we've done better than others. Generally, the longer they're converted, the more aptitude our team members develop for our systems and the way we do business. And then as we have more time to evaluate management teams and train management teams, they get better at recruiting the right kind of people. So yes, I think we've -- that's a big piece of our effort there to make the conversion to our dual market strategy. And I think that we're making good progress there. Ted, do you have anything you want to add to that?
Ted F. Wise: Yes, it's a process to obviously not only go out and set up the account and start a relationship with an installer customer. But then, they give you a try and over time, you earn the business based on service levels and everything that goes into being a good supplier. So yes, we see every day and obviously, it's a by-store progress. But we're growing market share as we develop and keep our relationships solid with our installers.
Simeon Gutman - Crédit Suisse AG, Research Division: And so in DIFM, there is a good balance between both the ticket, as well as the account sign ups, new accounts?
Gregory L. Henslee: Well, we don't address them individually, but we continue to do well on both sides.
Operator: Your next question comes from Alan Rifkin.
Alan M. Rifkin - Barclays Capital, Research Division: A couple of questions, if I may. With the integration for the most part now safely behind us and obviously, as the attention turns to increasing the productivity at the former CSK stores, would you maybe be able to provide some color on just the delta in productivity of legacy CSK sales person versus the productivity rates of some of the folks who are now supporting the CSK stores?
Gregory L. Henslee: Well, CSK didn't do a very good job or didn't put a lot of focus on measuring individual productivity. And I'll just be clear you're speaking about individual productivity, correct?
Alan M. Rifkin - Barclays Capital, Research Division: Yes. I mean the folks right now, Greg, that you have supporting the CSK stores, how is their productivity compared to the sales people who are supporting your legacy stores?
Gregory L. Henslee: Yes. Well, along...
Alan M. Rifkin - Barclays Capital, Research Division: I realize that most of these people weren't there before, but the performance now.
Gregory L. Henslee: You bet. Well, like I was saying, the CSK did not put a lot of emphasis on measuring individual team member productivity. They, of course, measured store productivity and success as any company would. Our company, with its commission-based programs and team commission-based programs and just the aspiration to perform as well as we have in historic markets, puts a lot of emphasis on individual productivity. And we've seen great gains. I mean to put a number on what CSK, what their average team member generated to what we generated, I wouldn't be able to do that today. But I can tell you, we put a lot of emphasis on that, and we have team members that we have recruited that are now installers, service specialists, that's the title we give them, but they basically manage the transaction and the relationship in the store with our professional customer business. And we have guys out there that are approaching some of the productivity levels that we have in our historic O'Reilly markets. Now, that's not to say we don't still have a lot of upside because we do, because we have some team members in the historic markets that are incredibly productive. And it's astounding how much business they can write and process each day, and at some point, we'll get to that with some of the CSK force that we gained ground significantly there. Ted, I don't know if you have any comments.
Ted F. Wise: Yes, it's -- from where we started and where we're at today, we're very pleased. Although the last 3 years, there's been a lot going on out there as far as the change over and resets and just the learning curve of new systems, so it's really not fair to say they were not productive. But it is accurate to say they are much more productive now on a dollar sales per team member basis, and I think we'll see improvement. I think the improvement, obviously, is going to be due the sales growth and leveraging the expense we have in the stores now. And it's going real well.
Alan M. Rifkin - Barclays Capital, Research Division: Okay. And one follow-up, if I may. As you folks pointed out, obviously, there's been a very nice acceleration in the 2-year blended number, with it going from the mid-12s up to 15.9 in this quarter. Would it be reasonable to assume that most, if not all, of the entire delta in your acceleration in comps is coming from the former CSK stores?
Gregory L. Henslee: No, that would not be a correct assumption. The core O'Reilly stores continue to perform pretty well. The historic CSK stores, as I mentioned in my comments, are comping better than the core O'Reilly stores. But -- and yes, a big portion of the delta, I guess, would, is coming from the CSK stores. But the core O'Reilly stores continue to do very well.
Thomas G. McFall: I guess what I would add to Greg's comment there is we have posted as we did last year at 11.1% comp without the core stores, which represent over 70% of the store base now, having a very good year. So when we looked at our guidance for the third quarter, those are tough compares for a more mature market. And then when we look at exceeding the guidance for the third quarter, what our expectations of comps were at the core stores, we exceeded those to help drive the comps.
Alan M. Rifkin - Barclays Capital, Research Division: Okay. Yes, I was certainly not implying that I thought for even a nanosecond that the legacy stores were comping flat. I was just trying to kind of look at the delta and what's happened here, Q2 versus Q3.
Operator: Your next question comes from Scott Ciccarelli with RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: I guess I'm attacking a fairly similar topic as a lot of the other analysts on the call here. How long does it take for a commercial business in a new store to ramp up to what you would view as a mature commercial program? Is it a 3-year haul, is it a 5-year haul?
Gregory L. Henslee: Yes, it varies by store, Scott, depending on the people and competitors and a lot of factors. But I would say that somewhere in the 4- to 5-year range is the ramp to maturity where you have the market share entitlement that you would expect to have, and you have the people or the team members in the store, from a productivity perspective, generating what we would hope they could generate and things like that. So we still have a lot of room in improvement in front of us in the CSK stores, but we're reasonably pleased with what we've been able to do so far.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: No, I understand that. I guess the second part of that question might even be more important is, what does the shape of that curve typically look like? I'm assuming it's not necessarily a linear ramp. I mean, is it kind of like a -- is it an S curve? Is it kind of a hockey stick ramp? I mean, what's the right way to think about how that business typically ramps up?
Gregory L. Henslee: Well, all the new stores we open, we open up in both businesses. So we started 0 or in acquisition. We usually start with some professional business and ramp up from there. Probably, a good, I guess, piece of our company to look at to answer your question would be the stores that we converted in the center part of the country that were previously Checker Stores. And there was just, just short of 200 of them that were some of our first conversions. And during the -- because they were in O'Reilly markets and because we had management in place already that fully understood the business, the ramp was pretty quick. And it ramped to a high rate that we maintained for a year or so, and then it came down slightly and has stayed flat since then. They stayed even with where it ramped down to, but it's still an incredible comp rate for those stores. But it stayed pretty equal to where they came back to after that initial kind of high rate of comp that we were able to gain by going out and just being in the installer business for the first time.
Thomas G. McFall: Scott, this is Tom. To add to Greg's comments, if we say it's a 5-year and we look at, as opposed to comps, we look at the dollars of sales added, our expectation would be the slowest years would be the first year as we're building the relationships, which Ted discussed. And the fifth year, when you're trying to get the last few accounts that you haven't signed up to get your market entitlement, with the strongest years being 2, 3 and 4.
Ted F. Wise: And I might add that even though we've owned CSK now for over 3 years that we really didn't start the race until about a year ago when the stores were converted over to our distribution model and our store systems. In those first 2 years, we were just really setting the stage.
Operator: Your next question comes from Brian Nagel with Oppenheimer.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: The question I wanted to ask, dive a little deeper into the accounts payable leverage. So you've seen a nice improvement here in the last 3 quarters and really, you look on a year-over-year basis, the improvements have been, I think it's -- and now, the pace of improvement's been accelerating. How far, as you think about it, how far could we push that? And what is, as we go from the 57% or 59%, where just now, what are some of the limitations as we start to push further up on that?
Thomas G. McFall: Brian, this is Tom. Our goal right now is to be in the 65% to 70% range by the end of next year with the vendor financing program now in place, that we have unsecured debt, that we've made a lot of headway so far this year. From a number of vendors, until we get to the new dating where the days are added, we don't see that additional increase and we expect to have good improvements next year. When we look forward to the end of this year, historically, from a sales volume standpoint, our AP to inventory ratio slows going into the end of the year. But I think the comparison of where we were end of third quarter last year to end of third quarter this year gives you a good idea of the direction we're going in. When we look at the structural differences, our best opportunity to really work with our vendors on dating hard products, the historic branded products that have a large distribution through the traditional channels. On those products, it's harder to get dating because so much of the vendors' volume is through smaller players in the industry that have a higher credit risk than the big players in the industry. So that's, I think, the structural difference you see between ourselves and some of our competitors.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: If I could follow up, another balance sheet question. On the debt to EBITDAR ratio, you are below what you laid out as your long-term target. You mentioned in your commentary about maintaining the credit rating. How also should we think about the timing of driving that capital structure towards the targets you've laid out?
Thomas G. McFall: Well, it's probably -- as we've talked about before, it's probably a 2-year process to get to where our leverage is. It will also be dependent on what other opportunities there are within the industry to consolidate the industry. We want to maintain our flexibility to continue to consolidate the industry, and we want to make sure that we maintain our investment grade ratings, which are key to our vendor financing program.
Operator: Your next question comes from Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Greg, during the last couple of years, you've talked about the rate of gross margin improvement beginning to slow. And that certainly made sense given margins improved about 700 bps during the past decade, and you're seeing this accelerating growth from commercial. But then last night, you put up the strongest gross margin gains since the second quarter of 2010. Do you think we're starting another leg of gross margin improvement for O'Reilly going forward? Or do you see this more as just kind of a onetime blip of different opportunities and we kind of go back to the same kind of flat performance we've had during the past year?
Gregory L. Henslee: Well, what I would say, Dan, is that I don't think the next 10 years, from a rate perspective, will look like the past 10 years from a pure gain perspective. We are putting a lot of effort into trying to do things to enhance our gross margin both on the acquisition cost side, just kind of the science we put behind managing selling price, the timing that we work with, with regard to price increases from our suppliers due to raw materials. So we would expect the incremental gains just not nearly what we've had over the past 10 years, probably, but still solid gains, kind of closing the gap with some of our competitors who do a little better on gross margin than we do. So yes, I think we still have some room, but I don't think the next 10 years will, from a rate perspective, will look like the past 10 years.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Right. But probably better than you've had in the previous 4 quarters.
Gregory L. Henslee: Yes, I think we'll continue to see incremental gains. I think the fourth quarter, the quarter we're in right now, I think a combination of mix promotions, lack of leverage on our or decreasing leverage on our distribution costs, which are included in our cost of goods, put pressure on fourth quarter. But we had good results in the third quarter, working on the things that we're working on from a pricing perspective and efficiencies and distributions. So we'll continue to work on those things, but I wouldn't expect what we did in the third quarter in the fourth quarter.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And then just the other question, different topic. A lot of the industry data shows that, that down-the-street mechanic typically gives 65% of his business to this top commercial provider, the amount of business going to the #4 and 5 providers is relatively small. When you look at the commercial ramp that you're seeing on the West Coast, are you primarily, at this point, still just going from the #5 to the #4 provider? Or are you seeing any instances where you're becoming a top 2 provider for those kind of core down-the-street mechanics?
Gregory L. Henslee: Yes. Well, of course, that varies by market a lot because you have team members in various stores that are either team members that were good in the commercial business when we bought CSK. CSK had some programs that were working or they were -- there are recruits from competitors who were really good in the commercial business. And in those stores, we could be one of the top guys. In most stores, we would be somewhere in the middle. I would say second, third, fourth, something like that, in most of the stores out there.
Operator: Your next question comes from Tony Cristello with BB&T Capital Markets.
Anthony F. Cristello - BB&T Capital Markets, Research Division: Greg, I believe you noted the commercial side of the business performing a little bit better just due to macro issues than the do-it-yourself side of the business. And I guess what I want to ask is as you look out, and you noted unemployment and you noted gas prices and some of these other issues that continue to probably put some downward pressure on that segment, what are some of the things that you see yourself doing as a company to help offset and perhaps improve your competitiveness on the DIY side of the business over the longer term?
Gregory L. Henslee: Well, there's a lot of things that we're working on right now to increase our market share on the DIY side. The things from product mix. We have -- historically, the breadth of our primary categories have been in products that have been preferred by the professional customers, and we're working to kind of mix those a little better, have products that fit both better as opposed to having one line that typically fits DIY and then a line that fits the professional customers better, creating a sell-up opportunity for the DIY. We're trying to provide more coverage in the price line products and, in some cases, mixing those so that we don't have 2 separate lines. Just from a promotion/advertising perspective, the services that we offer in our stores, from wiper installations and battery installations, to pulling the codes when someone comes in with their check engine light on, putting information on our point-of-sales systems that help with diagnostics when it comes to interpreting those codes and leading the customer down the right path, whether that be something that's simply wrong with their car that they can fix or informing them that their best bet is to go to a repair shop and have someone that really understands diagnostics to take a look at their car. We're just trying to become a better assistant when it comes to helping DIY customers that are challenged to try and fix their own cars, many times out of economic necessity, to figure out what their options are and help them get on the right track to fix their cars. So I think we have a lot of opportunity there. Clearly, from a high-level perspective, the DIY business is not growing as fast as the commercial business partly because of the complexity of cars, partly because the typical DIY customer just feels more the financial pressure due to the economy than the typical do-it-for-me customer. But we feel like we have market share that we can gain on the DIY side.
Ted F. Wise: And Tony, this is Ted. Another area we continue to work on, and I don't think you ever get to where you want to be for sure, is just the staffing model for every store, especially in the Hispanic markets and the high retail growth area. We've just got to stay real focused on being staffed for the clientele and having enough people at the right time. And with the wholesale/retail mix, it'd be -- presents a challenge for the store personnel to get the right blend of day people, night people, leadership on night and weekends, that can really drive the business and keep the service levels high. So it's a huge priority for us right now. And especially as we, out West, we're putting a lot of emphasis on growing the wholesale. We've got to make sure that we take stay focused on retail scheduling also, which we are.
Anthony F. Cristello - BB&T Capital Markets, Research Division: So as a follow-up, if you looked back at 2009 into 2010 when the do-it-yourself same-store sales, I think, we're accelerating and very strong, and now, we face a macro that's not much unchanged from respect. And now, you've got maybe DIY trends that are up only modestly. Does it put more pressure, not only on you but your competitors, or maybe said another way, should we expect to see a more competitive environment on the do-it-yourself side of the business given the fact that it's not grown nearly as quickly as the commercial?
Thomas G. McFall: Tony, this is Tom. As somebody who's followed our industry for a long time, you've seen the cycles we've gone through, and the DIY side of the business is much more cyclical than the do-it-for-me, which tends to be a much more steady growth side of the business. So when we look at '09 and '10, the comps for the industry were very good and above that 5-year run rate, which tells you that the DIY business was doing very well during that period and we were going through a lot of financial changes and consumers were under pressure. The way we look at it is during that time period, the DIY customers, some DIFMs got pushed into DIY, but people became more focused on repairing their vehicles and maintain them on the road so that they wouldn't have to go out and buy new vehicles, and we see that pressure still out there. But when we look at this time of the year vis-à-vis last year, last year, there was a big step-up in the DIY business. And we continue to do well on the DIY business at those higher levels that were established in '09, '10.
Operator: Your next question comes from Michael Baker with Deutsche Bank.
Michael Baker - Deutsche Bank AG, Research Division: On CSK, so I think in the past, numbers you've given have been something along the lines of when you bought the chain that those stores did about $1.3 million average volume. You would put out goals of $1.8 million in volume by 2013, with most of that gain coming in commercial. First, correct me if I'm wrong on those, but my question is can you tell us where you are in that trajectory? And then I guess I'll ask a follow-up, would be, that $1.8 million, I think, didn't quite get you a 50-50 mix that you have in your O'Reilly stores. Is there any reason why those CSK stores shouldn't have a 50-50 mix?
Thomas G. McFall: Michael, this is Tom. I'll answer the first part of the question. Our goal is to get the stores to $1.8 million on average, and I think our comment was though that would be within 3 or 4 years of them being converted. Our goal for 2013 was to hit a 15% operating margin and we feel like we're well on the way to getting there based on this year's results. As far as how they're progressing, the stores continue to do well within, and probably slightly above, our level of expectation when we bought them. But we stopped giving individual market statistics as we feel it puts us behind some competitive pressure as our competitors are giving regional comps out. So we continue to make progress, and on the 50-50 mix, I'll turn it over to Greg.
Gregory L. Henslee: Yes. The -- from a mix perspective, those stores ultimately will end up with a mix similar to what we've had in historic O'Reilly markets with the exception -- when you look at them as a group, we didn't locate those stores and many of them were located in areas under a purely retail model that are just not conducive to doing the amount of professional business that we would ultimately like to do. Frankly, for our business models, some of those stores would not have been set where they're at although there's a huge retail opportunity in those stores that we'll continue to capitalize on them. We may not move them. They may just be stores that we operate as good retail stores that just do a little bit of commercial or maybe very little commercial, but still be very profitable stores. So that is going to keep us from getting to -- if you looked at those stores as a group in 5 years or 6 years or whatever, getting to kind of a historic O'Reilly average. But as a group, I'd say they're going to get in the 60%, 40% range or something like that. But many of them will be 50-50.
Operator: The next question comes from Kate McShane with Citi Investment.
Kate McShane - Citigroup Inc, Research Division: I was wondering in regards to some of the newer DCs that you've built out with your extension and conversion to CSK stores, are there any future investments that you're going to need to make with some of the earlier-built DCs as a result to maybe some of the newer technology or newer efficiencies that you've seen out of your later DCs?
Gregory L. Henslee: There are some things that, over time, we'll do in some of our older DCs that are proved from a technology standpoint, to be good investments that increase productivity. For many that have been to our analyst days where we've toured distribution centers, we've toured a variety of distribution centers. The one that's here in Springfield, our original distribution center, uses not nearly the technology that our newest distribution centers would, yet it yields up a productivity rate that's very comparable just because of the tenure and the team members that we have working in the distribution center. They're very successful. We have other distribution centers that don't use all the new technology, that aren't quite as productive, and incrementally and ongoing, we evaluate the implementation of some of the newer technologies in these older DCs. And we have a strategy that we periodically implement these things. Tom can speak to the capital investment of that and the effect on our annual capital usage.
Thomas G. McFall: When we look at our older DCs, as Greg said, we continue to make investments where we get a good ROI. When we look at the total CapEx, we don't have any significant projects that would change our running levels of maintenance CapEx at our existing DCs. Two years ago, we moved the Kansas City DC to a new location, relocated it. When we look across our distribution network right now, we don't feel that we have any distribution centers that need to be relocated. At quite a few of the distribution centers, we have additional capacity to add square footage, and where that's warranted, we will do that. That's obviously a significantly lower cost than opening new DCs.
Kate McShane - Citigroup Inc, Research Division: Okay, great. And if I could just follow-up with the 50 stores that you opened during the quarter. If you could comment at all about the rents that you are experiencing and if you've seen favorable rent changes from the 21 relocations that you've done?
Gregory L. Henslee: Ted, you will answer that?
Ted F. Wise: The last several years, really, the real estate market has been pretty ripe for expansion. Not that we've necessarily seen a lot of big decreases, but the property prices and lease rates have held flat, and in fact, some markets have gone down. For example, with all the Blockbusters and Hollywood Videos closing, there's a lot of good spaces available that fits our type of needs. And then again, just from a raw dirt, ground up, there's not been a lot of competition for expansion sites. So we've had a fairly successful last few years in growing our business at decent lease rates. And we've gone back, especially on the West Coast, and been pretty hard negotiators with our existing leases and held a lot of leases flat for the next period and actually had some reductions in some situations. So we have a whole group of people that works that area everyday as far as trying to lower occupancy cost for the future.
Operator: Your next question comes from Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: If you could go back to some of the comments you made earlier on inflation and maybe talk about how the impact the inflation has had on your average ticket, has progressed through the year, understanding, of course, that inflation isn't the only factor driving that ticket.
Thomas G. McFall: Matt, this is Tom. It's somewhat hard for us to narrow down to what the inflation specific is. We've seen -- as we grow the do-it-for-me side of the business faster than do-it-yourself side of the business, we have to -- that carries the higher average ticket. And especially with the CSK stores, as we work up the call list and we become more of the first call supplier and you get bigger tickets, that's helped to drive our ticket, but it's not necessarily price-based. If we look at just our LIFO charge compared to total inventory, we would probably say it's somewhere around 1.5% to 2% helper thus far this year, which is, I think, higher than what we've seen over the last 3 or 4 years.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Okay. And if you were to also think about the impact of inflation on margin, I'm not sure if LIFO negates that, but just as it shows up in the P&L in any given quarter, are you at the point right now where you're able to fully pass through the impact? And are you better able to do that now than you might have been earlier in the year with, for example, in the second quarter when the margin was under a bit more pressure?
Gregory L. Henslee: Well, when we look at price inflation, when prices go up quickly over a short period of time, it takes us some time to catch up with that. We saw that with diesel oil, which is a huge product in our industry, and saw sharp increases in April and May, and that's moderated. But in general, we're relatively successful at getting those passed through in a pretty short period of time. We would say, right now, that when we look at the third quarter, we didn't feel any compression from any specific items. We look at the price increases, during the quarter, helped that. The price increases were more at the beginning of the quarter and eased up as we got to the end of the quarter.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: So probably diminished pressure from that dynamic this quarter versus prior quarters?
Gregory L. Henslee: Yes.
Operator: We have now reached our time allotted for questions.
Gregory L. Henslee: Okay. Well, I would just like to thank everyone for attending our third quarter call. We look forward to talking to you again after we complete our fourth quarter and publish our year-end results next February. Thank you very much.
Operator: Thank you for participating. This concludes today's conference. You may now disconnect.